Operator: Good day, ladies and gentlemen, and welcome to the Tronox Limited First Quarter 2013 Earnings Call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to your host for today, Mr. Brennen Arndt, Vice President of Investor Relations. Sir, you may begin.
Brennen Arndt: Thank you, and welcome, everyone, to Tronox Limited's first quarter 2013 conference call and webcast. With me today is Tom Casey, Chairman and CEO. Tom will begin the call with a review of our performance; Kevin Mahoney, Vice President and Corporate Controller, will then review our financial position; and Tom will provide some closing comments and we'll complete the call by taking your questions. We'll be using slides today as we move through the conference call. Those of you listening via the Internet broadcast on our website should already have them and for those listening via telephone, if you haven't already done so, you can access them on our website at tronox.com. Let me begin today with a reminder that our discussion will include certain statements that are forward-looking and subject to various risks and uncertainties, including but not limited to, the specific factors summarized in our 2012 Form 10-K, our most recent Form 10-Q and other SEC filings. This information represents our best judgment based on today's information. Actual results may vary based on these risks and uncertainties, and the company undertakes no obligation to update or revise any forward-looking statements. During the conference call, we will refer to certain non-GAAP U.S. GAAP financial terms, which we use in the management of our business including EBITDA, adjusted EBITDA and adjusted earnings per diluted share. EBITDA represents net income before net interest expense, income tax and depreciation, depletion and amortization expense. Adjusted EBITDA represents EBITDA as further adjusted for noncash, unusual and nonrecurring items. Adjusted earnings per diluted share represents EPS adjusted for unusual and nonrecurring items on a fully diluted basis. A reconciliation is provided in our release. So let's turn to Slide 3, and I'll turn the call over to Tom Casey.
Thomas J. Casey: Thanks, Brennen, and thank you, all, for joining us this morning. As you saw in our earnings release, our first quarter financial results came in about as we expected, strong in the Mineral Sands segment and softer in the Pigment segment. However, and perhaps more significantly, the slight sequential volume increase we saw in fourth quarter 2012 Pigment sales increased substantially in the first quarter. Pigment volumes increased 23% sequentially, and volume gains above 20% were realized in all the major regions: North America, EMEA and Asia Pacific. Our pigment sales volumes reached their highest level since the third quarter of 2011. And zircon volumes were up 47% sequentially, following a 93% increase in the fourth quarter. So zircon sales also look like they're recovering nicely. We have said before that we expect the recovery in the pigment market, which in turn will lead to increased strength in the mineral sands feedstock market to consist of 4 phases: First, sales volume will increase, in large part due to the end of destocking by our customers. Prices will continue to soften during this early first phase, however, because the additional sales demand is being met by finished goods pigment inventory. Our finished pigment inventory declined to 71 days by the end of the first quarter from 81 days at the end of the fourth quarter. Second, as the inventory reaches more normal levels, prices will obviously, begin to stabilize. Third, as excess inventories are sold out and demand growth continues, plant utilization rates will begin to increase and this should benefit margins by improving fixed cost absorption and that will occur even without price increases. The price increases, we think, come in the fourth and final phase of the recovery. Inventories are down at normal levels, plant utilization rates have increased back up to normal levels, then prices should recover and that, obviously, further enhances margins. And I'll discuss a little bit later, we believe Tronox has a uniquely additional margin expansion capability from capturing more mineral sands gross profit in this quarter and in each of subsequent quarters in 2013 and beyond. The sales volume increase in the fourth quarter last year and even greater increase in the first quarter this year give us a reason to believe that the pigment market recovery, its process is underway. As we have said before, when we report pigment segment results, we book all of the feedstock that is being bought from our own Mineral Sands unit at approximately the then current market or spot price. About 69% of titanium feedstock revenue in the first quarter was derived from intercompany sales, which is up from approximately 59% in the fourth quarter. And as an indication that our integration continues and more Mineral Sands margin will be recognized in future quarters, approximately 88% of Pigment segment feedstock purchases during the quarter were from mineral sands and more importantly perhaps, more than 80% of the pigment we sold in Q1 was made from our own ore. Our average feedstock cost for the pigment segment in the quarter was $1,501 per metric ton, which is a reduction from $1,623 per metric ton in the fourth quarter. So that background, let's turn to our first quarter results, which begin on Slide 4. Revenue of $470 million was up 8% versus the $434 million in the prior year quarter and was 2% lower than the $482 million in the fourth quarter of 2012. Adjusted EBITDA of $73 million compares to record $151 million a year ago and $71 million in the fourth quarter of '12. Our adjusted EBITDA margin was 15.5%. We think this compares very favorably to our nonintegrated peers. Mineral Sands revenue was $298 million and adjusted EBITDA was $157 million for an adjusted EBITDA margin of 52.7%. Pigment revenue was $288 million and adjusted EBITDA was a negative $37 million for an adjusted EBITDA margin of negative 12.8%. The negative EBITDA in this segment reflects spot market price feedstock costs recorded in the segment's results and lower fixed cost absorption, which impacted results by approximately $15 million due to the reduced plant utilization rates that we were running in the quarter. During the quarter, average plant utilization was in the 70s-percent range. Adjusted net loss of $51 million or $0.45 per diluted share compares to the adjusted net income of $98 million or $1.25 per diluted share in the year-ago quarter. Looking at each of the operating segments in more detail, first, Mineral Sands, which is shown on Slide 5. Mineral Sands revenue of $298 million was $215 million higher than revenue of $83 million in the year-ago quarter, but a year ago, our Mineral Sands revenue was obviously confined to the 50% joint venture interest in Tiwest. On a pro forma basis for the acquisition, Mineral Sands revenue was about level to that reported a year ago. Beginning in this quarter, we will provide the split of Mineral Sands revenue by intercompany sales and sales to third parties to give you better insight to the timing of profit recognition in both cases. Again, to repeat, in sales to third parties, profit is recognized as titles transferred, which typically happens when the feedstock is loaded onto the transport ship. In the case of intercompany sales, profit is recognized when pigment made from that feedstock is sold. Given the time it takes for a feedstock to be transported from South Africa or Australia, inventory that the pigment plant processed there and held in finished goods inventory prior to sale, this time lag is typically 5 or 6 months. To illustrate the effect of this time lag and recognizing that we have not yet been able to capture as much margin on ore as we will in the balance of this year and beyond, at the end of the first quarter, we had approximately $82 million in gross profit on sales of feedstock by Mineral Sands to Pigment that has yet to be recognized at the parent company level, because the pigment manufactured from that feedstock has not yet been sold. And obviously as that pigment is sold in this quarter and in future quarters, the margin will be recognized. With that background, in the first quarter Mineral Sands segment revenue from intercompany sales was $143 million and sales to third parties was $155 million, including $85 million of revenue from zircon and pig iron. Compared sequentially to the fourth quarter of 2012, overall titanium feedstock volumes were level, but as I just mentioned, the greater percentage was shifted to intercompany sales. Having our Pigment business increase the amount of our Mineral Sands production and purchases allows us to avoid the lost sales of feedstock that may have resulted as other pigment producers continue to reduce their ore purchases. Sequentially, although overall market prices for titanium slag and synthetic rutile decline, our average titanium slag selling price increased as approximately 40,000 metric tons of legacy third-party sales contracts that were priced below market expired in the fourth quarter of 2012. Pricing levels for natural rutile declined modestly compared to levels in the fourth quarter. We saw the second consecutive quarter of substantial sequential sales increases in zircon. Revenue in the first quarter increased 6% sequentially, driven by a 47% volume growth, which was offset by 28% lower selling price. Recall in the fourth quarter of last year that zircon volumes increased 93% compared to the quarter -- the preceding quarter. Mineral Sands segment adjusted EBITDA was $157 million in the quarter and EBITDA margin, as I said, was 52.7%. This is again calculated before we eliminate the gross profit non-sales for the Pigment segment in consolidation. In the first quarter, approximately $52 million in Mineral Sands gross profit was eliminated while approximately $28 million of previously eliminated Mineral Sands gross profit was booked as the pigment made from that feedstock was sold in the quarter. Thus, the net adjusted EBITDA elimination that occurred in consolidation was approximately $24 million. Mineral Sands income from operations of $96 million increased 88% versus $51 million in the year-ago quarter and 269% versus $26 million in the fourth quarter of 2012. Moving now to Slide 6, where we discuss the Pigment segment. First quarter Pigment segment revenue of $288 million was 20% lower than the $362 million in the year-ago quarter. However, compared to the fourth quarter of last year, revenue increased by 13%, driven by 23% volume increase. This sequential volume growth was broad-based as volume gains above 20% were realized in all 3 major markets of North America; Europe, Middle East and Africa; and the Asia Pacific market. Sequentially, as we have previously indicated that we expected would occur, pricing declined, down about 8%, largely because of the excess finished pigment inventory levels remaining in the system during the quarter. The level of pricing decline was similar across all regions. Adjusted EBITDA was a negative $37 million in the current quarter as compared to negative $58 million in the fourth quarter of last year. And segment income from operations was negative $68 million compared to $109 million in the year-ago quarter and negative $85 million in the fourth quarter. Though financial results reported by our Pigment segment continue to be soft as we expected in this first quarter, we see reason for tighter supply demand conditions in the second half of the year as finished pigment inventories and plant utilization rates both return to normal levels. And over the medium to long term, we continue to believe that the industry's supply-demand fundamentals support an extended period of strength for the Mineral Sands and Pigment value chain despite this transitory soft period. As a final point of note, earlier this week, our board declared a regular quarterly dividend of 25% a share, representing a current yield of approximately 5% payable on May 28, 2013, to shareholders of record of the company's Class A and Class B ordinary shares at the close of business on May 20, 2013. I'll now turn the call over to Kevin Mahoney for a review of our financial position. Kevin?
Kevin V. Mahoney: Thank you, Tom. I'll review the corporate and other segment and then move to major line items on our income statement and balance sheet. Corporate and Other revenue, which includes our electrolytic manufacturing business was $27 million in the quarter versus $31 million in the prior-year quarter. Electrolytic and other chemical products net sales were lower principally due to lower volumes of sodium chlorate and electrolytic manganese dioxide or EDM, and to a lesser extent, lower selling prices for EDM. The Corporate and Other net operating loss was $24 million as compared to $28 million in the year-ago quarter. Selling, general and administrative expenses for the company in the quarter were $51 million or 11% of revenue versus $44 million or 10% of revenue in the year-ago quarter. This increased level is principally due to the acquisition of the Mineral Sands operation in June of last year. Interest and debt expense was $27 million versus $8 million in the year-ago quarter, principally due to interest expense on the senior notes issued in the third quarter of 2012 and the amortization of debt issuance costs associated with those senior notes. Depreciation, depletion and amortization in the quarter was $73 million. We continue to expect that annual depreciation, depletion and amortization for 2013 will be in the range of $290 million to $310 million. Regarding our balance sheet, on March 31, 2013, gross consolidated debt was $2.4 billion and debt net of cash was slightly above $1 billion. In March, we obtained a $1.5 billion senior secured term loan that matures in March 2020. The $700 million term loan entered into in February of 2012 was retired in the quarter. The terms of the new loan are substantially similar to the loan we retired but with less restrictive covenants. Moving to Non-Controlling Interest line. This component of equity on our balance sheet represents the amount of Exxaro's 26% ownership of our South African entities as required by the country's Black Economic Empowerment legislation. In our 10-Qs and 10-K, we provide revenue generated by our South African operations, which was $110 million in the first quarter. This should enable you, after making your own assumption regarding profit margins, to estimate noncontrolling interest. For clarification, Exxaro does not contribute to the capital or share cost of our South African operations. Capital expenditures in the first quarter were $45 million. We estimate that capital spending for the full year 2013 will be in the range of $200 million to $250 million and in a similar range for 2014 and 2015. This is comprised of $100 million to $120 million for maintenance capital, plus $100 million to $130 million each year for the Fairbreeze mine development. Regarding our tax rate, we are reaffirming that our estimated effective tax rate for 2013 should be in the range of 8% to 10% and for 2014 and thereafter, in the 15% to 20% range. With that, I thank you, and I turn the call back to Tom.
Thomas J. Casey: Thanks, Kevin. Moving on to Slide 8, and before closing, I want to spend a few minutes explaining several important aspects of our financial reporting that arise from our vertical integration. As I said already, our Pigment business is now purchasing almost all of its feedstock supply from our Mineral Sands business. We record all those purchases in the Pigment segment results at approximately the then current market or spot price. Prior to June 15 of last year, so the closing date of the acquisition of the Mineral Sands business, all feedstock purchases that we made were from unaffiliated suppliers and therefore, flowed through the Pigment income statement at actual cost. Given inventory levels in the second half of 2012, this took about 5 months. Following the closing, we began to ship almost all of our ore purchases to our newly owned Mineral Sands business. However, as required by the purchase accounting rules under U.S. GAAP, the feedstock inventories held by that business at closing were stepped up to market value. As a result, even after we had processed the feedstock bought from unaffiliated parties prior to closing, our Pigment business continued to process feedstock that was in inventory at closing and that had been stepped up to market prices, meaning that the incremental margin that we expect to get from the purchasing and processing of our own Mineral Sands business was not reflected in those -- in that period of time. That inventory step-up, just to give you an idea of the magnitude of it, was about $188 million and as of the end of the first quarter, approximately 25% of that $188 million step-up remains on our books. What this means to us is that our ability to capture both the margin inherent in the feedstock market price, combined with the margin in the pigment market price is only now being realized. In the second quarter, we expect to capture more feedstock margin than we did in the first quarter and therefore expect to record the entire margin from both product lines going forward. However, even as our aggregate margin increases in this manner, our Pigment segment results will not reflect it because the segment results report ore costs as though they were purchased at market prices. Therefore, looking solely at our Pigment segment, our reported results will reflect the highest feedstock costs of any pigment producer because all other producers have a segment average feedstock price that currently includes not only some residual feedstock inventory purchased under legacy, below-market contracts, but also some ilmenite, which is priced significantly lower than the high-grade feedstocks that we use because of its significantly lower titanium content. Prior to acquiring the Mineral Sands business and underlying that decision, we understood that high-quality feedstock of the kind that we use would potentially remain in shorter supply and therefore, would more likely be higher priced than lower-quality ilmenite. And we did not want to be forever dependent on maintaining some price differential in the end-user market to carry that difference in cost. We could have changed our feedstock mix and in fact we still can, but we knew that this would increase our process chemicals, waste disposal and other costs along with bringing a negative environmental impact. In addition, it would require additional time and capital expenditure to do so. We chose another path to achieve the lowest cost position. By acquiring a high-quality feedstock supplier, we can continue to produce high-quality, environmentally better chloride pigment without paying the margin to unaffiliated feedstock suppliers that other chloride producers pay. In other words, though we "lose" that margin in the Pigment segment financial statements, we recover it in our consolidated financial results. We look at ourselves as a consolidated pigment provider with a short supply on economically compelling terms. Moreover, we believe this advantage is structural and therefore, it will endure across the cycles in our industry. In sum, as we look at our strategic flexibility, increasing sales demand, stabilizing prices and the increased margin from feedstock as we worked out the stepped-up inventory, we remain confident in both the near- and long-term value creation of our business and intend to deliver that value to our shareholders. With that, I thank you for your time and attention and we'll be happy to take questions. Operator, if you want to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Hassan Ahmed from Alembic Global.
Hassan I. Ahmed - Alembic Global Advisors: Just a question, again, I know you explained a bit about the transfer pricing mechanism and the like, but still a bit confused. I do understand that you are transferring sort of product from the Mineral Sands side to the Pigment side at market prices. And in the press release, you also talked about how now 88% of Pigment segment feedstock purchases are from Mineral Sands. So my confusion basically is -- simultaneously, you obviously also talked about how the pricing -- the overall Mineral Sands pricing, feedstock pricing, was down over $100 a ton. So is it fair to assume that the roll off of legacy contracts, that the bump up from that was not sufficient to offset some of the pricing declines that you saw in market pricing?
Thomas J. Casey: Yes, it is fair to assume. Our price decline from 1,630 approximately 1,501 was less than the price decline for our average pigment -- I mean average slag, SR and NR, prices in the marketplace. And that's because we had an increase in that for that 40,000 tons.
Hassan I. Ahmed - Alembic Global Advisors: And if you were to basically run your facilities 100% off of internal sort of ore, what would that pricing be today, with no legacy contracts in place?
Thomas J. Casey: First, we have a legacy contract and I think we've disclosed that that's about 100,000 tons of committed material that will run through 2013 and expire at the end of 2013. But again, when you think about the cost at the segment level, the Pigment segment level, regardless of the volume of production of the Pigment segment the cost is always going to be approximately market. So whatever the market price for slag is or SR or NR, that's what the price will be for our -- reported at our pigment unit, because we are obliged to transfer material from one segment to another segment at approximately market price, spot prices, and then we recapture the margin at the consolidated level. So our point is, when you look at the Pigment segment reported levels -- Pigment segment reported results, you cannot really understand just by looking at the segment the financial impact of our sales of pigment. It has a virtual ore price and therefore virtual COGS equity and you can't really pick it up until you get to the consolidated level.
Hassan I. Ahmed - Alembic Global Advisors: Fair enough. Now changing gears a bit. Obviously, you did the debt raise. And you're thinking about -- I mean, you said this in the past, growing the earnings of the company and you may even consider acquisitions and the like and completely understand the sensitivity of sort of talking about such things, but could you just lay out the priorities or the checklist that you have in your mind, when you are thinking about sort of growth in the company and the usage of that $1.5 billion that you've raised?
Thomas J. Casey: No.
Hassan I. Ahmed - Alembic Global Advisors: So no priorities?
Thomas J. Casey: No, no, no. That's not what I said. You asked me, could I lay out the checklist?
Hassan I. Ahmed - Alembic Global Advisors: I mean, listen, I'm not talking about which company you're going for, but just the broader thought process that you have.
Thomas J. Casey: Let me try to be somewhat responsive. We are looking -- we believe that we had -- so 3 categories of possible uses for that capital that we raised. We can invest in the Pigment business in terms of adding to our facilities either in a brownfield expansion or a greenfield expensive. These are all theoretical categories. We can do the same kind of expansions on the Mineral Sands business or we can acquire either a Pigment operator or Mineral Sands operator. If we acquire -- if we go to the acquisition of a third-party, there are then 2 other categories. There are entire companies that might be for sale. Obviously, Rockwood is conducting a process and they've announced that. There may be others and -- or there are individual pigment manufacturing plants around the world that may be available. We look at all of these possibilities from the point of view of the return on equity that we will get from investing the capital, first, and we look at that in connection with -- as an integrated business. That is if we buy an asset or invest in an asset, what will that do to our overall financial performance? Will it assist in increasing the profitability of the portfolio as a whole? So that's how we think about it. We are not going to talk about specifics, obviously, Hassan, but we have some choices. We look at it from the point of view of return on invested capital and that's on the basis of the company as a whole, not simply just the transaction that we might be looking at.
Hassan I. Ahmed - Alembic Global Advisors: But is it fair to assume that, call it, the monetization of the ilmenite stockpile that you have, coupled with the NOLs that you have in the U.S., monetizing those, would be sort of front and center in your mind as well?
Thomas J. Casey: Certainly, there are important elements of it, but there are factors in the calculation that we will run on any possibility to determine the return on the capital invested. And in some transactions, you would expect the ilmenite pile in the inventory in South Africa to be more readily consumed and therefore, turn into cash more quickly. And that might mean that the income out of that opportunity is not primarily U.S. based, which means the NOLs will be slower to realize. There could be another transaction where the reverse would occur. So we just -- we look at the entire opportunity, we try to evaluate it with discipline and then we focus on returns for the investment of the capital that we've raised.
Operator: Our next question comes from the line of John Roberts of UBS.
John Roberts: The Chinese exports have been declining on a fairly steady basis. Should we at least be prepared for them to sort of bottom out here and not view that as any change in market conditions when they do bottom out?
Thomas J. Casey: Yes, actually. I think that's exactly the right way to look at it, because we have said earlier that we did an analysis of the decline in our demand in 2012 and we concluded that less than 1% of the sales volume declines we experienced during that period were attributable to customers substituting Chinese supply for our supply. So I don't think that a material reduction in their export levels will be that significant to our market. The way it does affect the market is if exports from China are very high, and they come out because domestic demand is not sufficient to absorb their domestic production, then it affects relatively low quality sulfate pricing in Asia Pacific first and then with some knock-on effect into Europe. Again, with respect to lower quality sulfate product. We don't compete in that market anyway. So it has an indirect kind of derivative effect on the market perhaps, but not directly on us.
Operator: Our next question comes from the line of Richard Hatch of RBC.
Richard Hatch - RBC Capital Markets, LLC, Research Division: Just wonder whether you might be able to run through a rough guide as to where you're seeing feedstock prices at the moment across the board. And also, secondly, whether you're able to give an update on Fairbreeze, please?
Thomas J. Casey: Feedstock prices, we reported that the average price is $1,501 and we've said that we pay market -- we record that price at market. So whenever we disclose what our average price is, that is the market price for feedstock. Recognize that we use a blend of synthetic rutile, natural rutile and slag in our facility, so the average price is going to be somewhat higher than the slag price, which will be the lowest of the 3. And you can sort of make some assumptions about the relationship between those 3 products to get to what the component prices are. But we try to disclose that -- we intend to disclose that quarterly. With respect to Fairbreeze, I was hoping that we would have an announcement on Fairbreeze by this call, but we don't. So we are still waiting for the water use license and I've been led to believe that we can expect that soon. But to be honest, I've been led to believe that since November.
Operator: Our next question comes from the line of Gregg Goodnight of UBS.
Gregg A. Goodnight - UBS Investment Bank, Research Division: My first question is concerning the potential price increases. You mentioned your 4 phases of the cycle and where you think prices are eventually going to recover. Where are we at in those 4 steps? You said we've ended the destocking. Have prices stabilized now? When are plant utilizations likely to go up and when will price increases be seen?
Thomas J. Casey: Well, I certainly am not going to preannounce the price increase here since my lawyer will probably jump right over the table to try to stop me if I were to do that. Obviously, we think the first phase of this is -- of this recovery process that I outlined, and of course this is just my own or our structure, our framework for this, but it's how we think about it. The first phase is that demand picks back up again, largely because the destocking of the 2012 time period has ended and the customers are now buying back to normal levels, but that the supply to meet that incremental increased demand is coming out of inventory, the excess inventories that the pigment manufacturers had maintained through 2012. And I think that's where we are. Demand is clearly increasing. It increased in the fourth quarter, it increased in the first quarter, it increased for others, as well as ourselves, and I think -- so you'll see that inventory levels begin to work down in this quarter and probably into the next quarter, and as inventory levels approach the more normal levels, which for this time of the year would be somewhere probably 50 to -- well, 50-ish days, then I think plant utilization rates will increase as the pigment manufacturers realize that they have to produce more tons in order to meet the demand because they no longer have surplus inventory. As that happens, margins go up automatically simply because of fixed cost absorption, and prices will stabilize and then I think that as inventories are depleted and plant utilization rates are moving at sort of full volume, prices will increase. I doubt that we are at that level right now, in terms of prices increasing right now, but we see the possibility of it coming in the second half, which is what we had forecast when we first talked about the year. So we're optimistic about that our view of the year is playing out as we had thought it would and we have the benefit, as I mentioned before, about the incremental ore margin that we'll start to see in this quarter and next quarters. So that's going to help us too.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Excellent. I appreciate that color. Just one follow-up question, if I could. You mentioned you're quarter-over-quarter improvement of sales volumes. Could some of that be restocking downstream ahead of anticipated price increases? I mean what do you see is the true pull-through in demand in terms of operating rates?
Thomas J. Casey: It could be, but I think that -- I think it's simply customers bought ahead in 2011. They bought ahead of their demand for all the reasons we know about and they worked that down over 2012 and now they're back buying at normal levels. So I don't think there's panic buying in the market. I think customers are buying what they need to manufacture their product. I don't think that they would be motivated to buy either by the prospect of shortages or by the prospect of material price increases as they were in 2011. I think they're motivated to buy simply because they depleted their feedstock inventories -- their pigment inventories.
Operator: Our next question comes from the line of Ian Corydon from B. Riley & Co.
Ian Corydon - B. Riley Caris, Research Division: Just curious if you think the volume increases that you've seen in zircon are sustainable here for the rest of the year and can you speak to the trajectory of prices post the end of the first quarter?
Thomas J. Casey: Well, the volume increases are very, very high obviously. They were 90-something percent in the fourth quarter and almost 50% again in this first quarter. So the rate -- the growth rates are certainly not going to stay at those levels just because of the law of large numbers. But I think that -- I think zircon is recovering and so we expect that the zircon market will be much better in 2013 than it was in 2012. There were large amounts of inventories built up in 2012 as the sales essentially declined so dramatically. And again, just like in Pigment, we have a situation in which this incremental demand is being satisfied out of inventories that were built up over the last year. And so I think that price will not immediately follow volume increases simply because the vendors are going to be working down their inventories. But I think that price came down to a very significant degree. I mean, the zircon prices are probably close to half of what they were at the peak, and I think that those will trend up. But neither -- I don't think either zircon nor pigment pricing is going back to the peak levels simply because that was the product of several unique factors that applied in 2010 and 2011 that don't apply now, but we expect to see strengthening on both in the second half of the year.
Ian Corydon - B. Riley Caris, Research Division: Got it. And in terms of your zircon volumes then, you would think those are flat to higher by quarter for the remainder of the year?
Thomas J. Casey: Well, no, higher, but not at 97% and 47%. I was just sort of making a relative point that the -- we think the recovery is real and sales will be strong for the balance of the year. They just won't be at those sort of phenomenal percentage increases.
Ian Corydon - B. Riley Caris, Research Division: Got it. And then my last question is on SG&A. Are there opportunities to get your quarterly SG&A materially below the $51 million you're at in the first quarter?
Kevin V. Mahoney: Let me take that. This is Kevin. In the first quarter, there were few one-time items that spiked SG&A for us. The first one relates to our SAP implementation. So we implemented SAP in the fourth quarter -- third and fourth quarter of 2012 and all of that was capitalized. When we actually -- post-implementation, when we start to train people in SAP, that has to be expensed. So that was about $6 million of additional one-time expense in the quarter. Also, sequentially, we paid bonuses. So that, in effect, had another $5 million impact. And at the end of the year, since this is our first year as a public reporter, we had both a 10-K for the first time and IFRS financials being prepared for the first time. So the sum of those 3 was about $13 million of excess cost that we don't see as repeating.
Operator: Our next question comes from line of Hamed Khorsand from BWS Financial.
Hamed Khorsand - BWS Financial Inc.: Related to the Pigment situation, you were talking about pricing gradually going up. Do you -- in the second half, do you think you're at the stage where utilization can increase in the following quarter?
Thomas J. Casey: Yes.
Hamed Khorsand - BWS Financial Inc.: All right. And then are you seeing any improvement in utilization now?
Thomas J. Casey: Well, we're managing plant utilization because while -- we want to get rid of the inventories. I mean, the inventory ties up a lot of cash and so we are generally trying to maintain plant utilization rates where they have been, even though that imposes a fixed cost absorption penalty on us so that we can move the inventory out to meet the demand without either building new inventory or affecting supply. So we could increase the plant utilization rates, but so long as we're carrying 71 days of inventory, which we were at the end of March, it would be our intention to try to manage that -- the utilization of the factories a little bit more tightly. But as we move that inventory out, then the inventory levels are going to come down to the 50-day, 55-day level, at which point that sort of normal levels for this time of year and we would then start to increase the plants.
Hamed Khorsand - BWS Financial Inc.: Okay. And then what's the effect on Tronox if Chinese productions kept internal and the Chinese market has sufficient needs for pigment? How much impact does that have that you can't sell into that market?
Thomas J. Casey: That we can't sell into it or that they're not exporting out of it?
Hamed Khorsand - BWS Financial Inc.: That they have enough production that you can't export into China?
Thomas J. Casey: I'm looking at our volume in China. Our volume in China is relatively modest. I think it's sort of 4% of total revenue. And so if that market were 100% foreclosed from us, then it would be about 3% or 4% impact. However, you remember that there are no -- essentially there's no active producing chloride pigment manufacturing facility in China today. Certainly, not in any scale. And so we don't compete in the traditional Chinese sulfate product anyway. We are selling to customers that have demand for a higher quality chloride product that cannot be met by Chinese manufacturers at this point because they don't have any.
Hamed Khorsand - BWS Financial Inc.: Okay. And then last question on zircon. At what production level do you have to get to before the EBITDA margins at zircon get to be above 20% again?
Thomas J. Casey: We have continued -- I mean, zircon, as you know, is a coproduct of titanium. So it's -- you can't really manage the production levels of it in the way you can some other products. I think that, so we look at zircon margins as being primarily a function of price, not a production scale, because we can't control production volumes as well.
Operator: Our next question comes from line of James Finnerty from Citi.
James P. Finnerty - Citigroup Inc, Research Division: In terms of the 211 tons of ore that you sort of say you're long in general speaking, how much of that goes into sulfate versus chloride production or could you tell us what it consists of in general?
Thomas J. Casey: In 2013, 100,000 of it will be sold to a third-party pigment -- chloride pigment manufacturer under that -- the last year of that legacy contract I mentioned earlier. And the balance of it, some of it is sold into the non-pigment market, the rutile, natural rutile in particular are sold into the welding and other titanium metal, other non-pigment markets. And the balance of sales is sold to chloride producers. Almost none of it -- a small amount of it is sold to sulfate producers, but very little.
James P. Finnerty - Citigroup Inc, Research Division: Okay. And coming back to your cash position. Just broadly speaking, would you say that it's sufficient for the opportunities that you're exploring in terms of acquisitions?
Thomas J. Casey: We think so. I mean, obviously, there are opportunities that will take substantially less than that and there are conceivable opportunities that would take substantially more than that, but we think that's going to be enough.
Operator: Our next question is from Caroline Learmonth from Absa Capital.
Caroline Learmonth: In terms of production volumes, I think you mentioned earlier on the call that you're going to be disclosing that going forward. When do you anticipate disclosing those volumes? And then just in terms of where you are in the first quarter in terms of external sales volumes of Pigment and Mineral Sands, it looks just very roughly like you were tracking at about, say, 85,000 on the Pigment side and say, 80,000 on the Mineral Sands side. Is that roughly right?
Thomas J. Casey: Caroline, with respect to production, as you know, we've been reporting that in terms of revenue or its sales in terms of revenue and we're still grappling with whether or not we want to go beyond that right now. So we're not going to disclose tons of production in aggregate or by facility yet, although I know you want us to and so we're thinking about it. I'm not sure I followed the other question, the second question that you asked?
Caroline Learmonth: Okay. It was trying to guess those numbers. But maybe can you just confirm, I think we can back-calculate it, but can you just confirm what is your total capacity for Pigment at the moment, annual?
Thomas J. Casey: The nameplate capacity of our plants is 465,000 tons. You discount the actual production capacity of the facilities by some percentage that would reflect the need to take them down for maintenance and things like that. But if we said we were in the 70s percent range on utilization, then we would be whatever number you assume is in the 70s x 465,000 tons and that would be our production. Divide it by 4 to get the quarterly number.
Operator: Our next question comes from the line of Ed Mally of Imperial Capital.
Edward P. Mally - Imperial Capital, LLC, Research Division: Not to be too fixated on the inventories, but just to follow up on a couple of point for clarification. I take it from your comments that the utilization rate in the first quarter hasn't changed going into the second quarter. And I guess as I think about this, if that assumption is correct, if you were to see another sequential 20-plus percent increase in volumes, would that be sufficient to bring your inventory down from 71 days to the mid-50s such that by the end of the second quarter you could looking to increase utilization rates?
Thomas J. Casey: Depending on the numbers of additional tons sold in the second quarter, yes. We expect inventory levels to decline in the second quarter relative to the first quarter and, in fact, they have already done so in the periods so far. So we'll be very close at the end of the second quarter if we're not there.
Edward P. Mally - Imperial Capital, LLC, Research Division: And when you talk about this 50 to 55 as, I guess, normalized or perhaps optimal for this time of year, how do you think about it as you go into the second half? Would you see it an either a desire to have greater or fewer days inventory on hand as you got out to the end of September and end of December?
Thomas J. Casey: Fewer days at the end of September and about those -- that number of days at the end of December. The industry, our customers have seasonal buying patterns because obviously construction and the uses of their material is seasonally driven. And so we would normally expect to build inventory in the fourth and first quarters of the year as sales decline relatively speaking, and sales increase in the second and third quarters and inventories decline in the second and third quarters. So you would -- I would expect that at the end of September, we would want to be somewhere in the low 40 days and that would then build up to what I mentioned earlier, which is in low- to mid-50 days. That would be sort of the cycle across the 4 quarters of the year.
Operator: Our next question is from the line of Amer Tiwana from CRT Capital.
Amer Tiwana - CRT Capital Group LLC, Research Division: My question is regarding working capital. Obviously, your inventory is coming down. If you could give us some guidance around how working capital would shake out for the year, that would be helpful.
Thomas J. Casey: Sure. From a top line perspective, our working capital from operations was flat in the first quarter, but we expect to be reasonably positive for 2013. Our inventories are down a $63 million from year end and we expect them to continue to reduce as demand picks up. We believe our receivables are in very good shape and will probably increase as sales pick up. As far as trade payables and accruals, we would expect normal cash flow for those. So in retrospect, we're very comfortable that our working capital has a strong position for 2013.
Operator: Our next question comes from the line of Tim Clark of Deutsche Bank.
J. Timothy Clark - Deutsche Bank AG, Research Division: I just wanted to -- a question on your cash flow. A lot of your financial accounts have got your inventory step-up and merger acquisition type of effects and then only a sort of inventory effect that are sort of between the segments. But your cash flow should be, to some extent, more clean. You've spoken of $15 million of additional cash flow or additional EBITDA, which I can assume must cash flow from some of the utilization rates as you move utilization rates up. But how do you see covering cash flow -- recovering without some significant price increases, assuming we don't see big volumes? I mean, at the moment, given your maintenance CapEx guidance, the cash flow is not quite meeting that maintenance CapEx?
Thomas J. Casey: When we think about cash flow, price is obviously a piece of it and as that ticks up, that will flow through our cash flows. We are still building on our deferred gross margin so as that levels out, that should help increase also cash flow. And then there is still some inventory step-up that's flowing through the process. So those items are somewhat of a drag and those should clear as the year goes on and effectively help us with an increased flow.
Operator: Our next question comes from the line of Ernie Ortiz from Crédit Suisse.
Ernie Ortiz: I'm filling in for John Minolti [ph] today. So in addition to potentially adding to your TiO2 platform, would you have interest in potentially broadening the portfolio into other related adjacencies, kind of other types of pigments?
Thomas J. Casey: Other kind of pigments is by definition, I mean we're talking about sulfate, and yes, we are looking at some opportunities that include some sulfate pigment. So that's something that is not completely out of the question. But generally speaking, as we move away from our core competency, which is vertically integrated pigment production, I think the risk increases somewhat depending on how far afield we go. So sulfate is very similar to what we do and we can feed it with the vertical integration structure that we have, so that is attractive, we have the ability to change the cost structure of that. And as you go away from that more and more, there are -- there's less benefit to the vertical integration structure. In some cases, there's some, but perhaps not as much. And in some cases, there's none that all. As we go away, we'd be more and more skeptical of a broad diversification.
Operator: I'm showing no further questions.
Thomas J. Casey: Okay. Then thank you very much. We appreciate all your time this morning, and we'll talk you next quarter. Bye.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the conference call today.